Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Profire Energy's Quarterly Operating and Financial Performance for the period ended June 30, 2024. I will now turn the call over to Steven Hooser, Investor Relations Consultant at Three Part Advisors, to get the call started.
Steven Hooser: Thank you, operator. With me on the call today is Co-CEO and CFO of Profire Energy, Ryan Oviatt; and Co-CEO, Cameron Tidball. Yesterday, after the market closed, the company filed its Form 10-Q with the SEC and discussed the quarter's highlights in a press release. As always, both of those documents are available on the Investors section of the company's website. The transcript of this call will also be posted in coming days. Before we begin today's call, I would like to take a moment to read the company's Safe Harbor statement. Statements made during this call that are not historical are forward-looking statements. This call contains forward-looking statements, including, but not limited to, statements regarding revenue diversification success, ability to support growth and diversification, the increase in global and domestic demand for natural gas, crude oil, and LNG, future performance in new and existing markets, OpEx production cuts, increased drilling activity, sales pipeline, the increased necessity of hydrocarbons, potential M&A opportunities, material increases in the U.S. power generation, stock repurchase plan, product development, and introduction, and the company's future financial performance.. All such forward-looking statements are subject to uncertainties and changes in circumstances. Forward-looking statements are not guarantees of future results or performance and involve risks, assumptions and uncertainties that could cause actual events or results to differ materially from the events or results described in or anticipated by the forward-looking statements. Factors that could materially affect such forward-looking statements include certain economic, business, public market and regulatory risk factors identified in the company's periodic reports filed with the Securities and Exchange Commission. All forward-looking statements are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. All forward-looking statements are made only as of the date of the release, and the company assumes no obligation to update forward-looking statements to reflect subsequent events or circumstances, except as required by law. Readers should not place undue reliance on these forward-looking statements. I would like to remind everyone that this call is being recorded and will be available for replay through August 22, of 2024. Starting later today. It will be accessible via the link provided in yesterday's press release as well as the company's website at www.profireenergy.com. Following the remarks by Mr. Oviatt and Mr. Tidball, we will open up the call for your questions. Now I would like to turn the call over to our Co-CEO and CFO of Profire Energy, Mr. Ryan Oviatt. Ryan?
Ryan Oviatt: Thank you, Steven, and welcome to all of you who are joining us on the call today. Our second quarter results represent another strong performance for the company, with the second highest quarterly revenue in company history, an increase in gross margin, and higher year-over-year net income, when adjusted for last year's tax credit. The revenue growth is coming across all aspects of our business. We continue to experience healthy demand for our legacy products, generated our highest quarterly service revenue in company history, and continued traction across our diversification efforts, which accounted for 15% of total revenue in the quarter. In the first six months of the year, our diversified revenue has significantly outpaced the same period of 2023. The underlying fundamentals for our business remain very favorable. Demand for electricity continues to increase through the growth of data centers, and the electrification of the home through additional electronics, and charging of EVs. The EIA predicts that the U.S. will use 3% more electricity in 2024, compared to 2023, and that consumption will grow again, by an additional 1% in 2025. 60% of the U.S.'s electricity production still comes from natural gas and coal, which isn't forecast to change materially anytime soon. LNG will continue to play a larger role in the global energy market. Shell predicts global demand for LNG, will expand by 50% by 2040 as China and other Asian countries switch from coal to natural gas. As we have stated before, these trends are positive for Profire's future as we continue to supply the energy industry, safety and automation solutions that reduce the impact on the environment. Oil prices have fallen below $80 per barrel in recent weeks, due to signals of slowdowns in global economies, despite the ongoing geopolitical tensions in the Middle East. OPEC Plus' production cuts are expected to continue for three additional quarters, which should keep upward pressure on oil prices over this period. These actions, combined with any further disruption in the Middle East, could increase the need for additional North American production, which is likely another tailwind for Profire. We remain very optimistic about our ability in the second half of 2024, to match or exceed our first-half performance, and to carry that forward into 2025 and beyond. Although there may continue to be some fluctuations, from quarter-to-quarter. Our balance sheet remains strong and provides financial flexibility, which allows us to consider additional strategic actions, such as acquisitions or stock repurchases. As previously announced, we began another stock repurchase program in the second quarter. With that, let me turn my remarks to Profire's financial results, for the second quarter of 2024. During the second quarter, we recognized approximately $15.2 million in revenue, compared to $13.6 million in the first quarter and $14.6 million in the prior year quarter. This quarter's performance represents the second best quarter in company history. Gross profit for the first quarter was $7.9 million, compared to $6.8 million in the prior quarter and $7.4 million in the second quarter of 2023. Gross margin was 52% of revenues, compared to 50% in the prior quarter and 51% in the second quarter of 2023. The sequential and year-over-year increase was primarily related to product mix, and better fixed-cost coverage, which was partially offset by normal inventory and warranty reserve movements, and inflation across the business. Total operating expenses for the second quarter, were approximately $5.3 million, or 35% of revenue, compared to $5 million, or 37% of revenue, in the first quarter and $4.2 million, or 29% of revenue, in the year-ago quarter, which included a $762,000 cost reduction from the employee retention tax credit. The sequential and year-over-year increase reflects the impact of inflation and additional headcount in support of strategic growth, and increased business activity. Net income for the second quarter was approximately $2.1 million, or $0.04 per diluted share. This compares to net income of $1.4 million, or $0.03 per diluted share, in the first quarter of 2024, and net income of $2.9 million, or $0.06 per diluted share, in the second quarter of last year. As previously mentioned, the prior year quarter includes a $762,000, or $0.02 per diluted share, tax credit related to employee retention. Cash used in operations in the second quarter was approximately $2.5 million, compared to cash generated of approximately $1.3 million in the prior year quarter. This difference was largely driven by a strategic increase in inventory, as well as reductions in accrued liabilities. Our inventory balance at the end of the quarter was approximately $16.1 million, compared to $15.7 million at the end of the first quarter. We expect the pace of growth in our inventory balance to slow, but we'll maintain sufficient levels to meet customer demand as we continue to transition from our legacy BMS system to our latest technology BMS product lines. We ended the quarter with $18.4 million in cash and liquid investments, and remain debt free. I will now turn the call over to Cam to provide an overview of our business. Cam?
Cameron Tidball: Thank you, Ryan. To all those joining us on the call today, and to those who will listen to or read the transcript in the coming days, Ryan and I want to express how extremely pleased we are with the performance of our team, and the results we've been able to achieve in the second quarter. As mentioned by Ryan, our second quarter results rank as our second highest quarterly revenue in company history, all while delivering strong company financial results in gross margin and net income. Profire's performance over the last eight quarters continues to demonstrate the strength of our brand in our traditional markets, as well as continued validation of our diversification strategy and trajectory. We remain committed to our strategic growth objectives, which are focused on maintaining and growing our market-leading position with upstream oil and gas producers, and natural gas utility, transmission and distribution providers, coupled with our high growth focus on midstream and critical energy infrastructure operators, as well as the vast opportunity in the downstream industrial and renewable space. We remain confident in our ability to deliver consistent results and continue to plan for growth. Our burner and combustion management technology and automation solutions continue to be the preferred platform of choice in our traditional markets, and are gaining momentum and notoriety with new customers in new and exciting industries. Let's dig into our diversification progress. In Q2, our combined diversification revenue exceeded Q1, by nearly 40%, with revenue from non-oil and gas increasing, by nearly 230% quarter-over-quarter. Our combined diversification revenue equated to just over 15% of our total revenue in the quarter. Comparing our first half results of 2024 to 2023, we are significantly ahead of our pace of last year, improving our ability, to add new customers and projects, earn repeat business, and generate new opportunities for our pipeline through efforts and initiatives of our sales and marketing teams. Our current backlog of diversification business has never been higher as we continue to win new projects in various industries. Thus far in 2024, our diversification results have been derived from critical energy infrastructure, landfill, biogas, biofuel, chemical manufacturing, power generation, metal manufacturing, and mining. In the second quarter, we were able to win several exciting new diversification projects, which comprise both new customer acquisition, and repeat business with the expectation of continued collaboration and projects. Of note, we were awarded our first project with a producer and manufacturer of various specialty chemicals, products, and synthetic waxes. We were also awarded repeat business with a leading technology firm who specializes in carbon dioxide removal and production of biofuels and syngas. Profire's 3100 technology and platform will support critical combustion and flame safeguard management to enable these customers to operate their facilities, and applications safely and efficiently. Our reference case of projects continues to grow. Our engineering, sales, and service teams are gaining valuable knowledge, with each new application that we encounter and project we deliver on. As we compare our capabilities now to that of just three years ago, we are able to support projects with larger scale, greater complexity and detail. And we are proving to be a valuable and even preferred option to that of the incumbents, who have traditionally served these markets. As we have mentioned on previous calls, we feel that Profire is in a strong position to leverage our technology, and proven project execution. This will enable us to continue to grow market share in the various industrial markets that, have the need to operate critical heaters and appliances safely, reliably, and efficiently. As mentioned, we experienced strong growth in critical energy infrastructure in the second quarter. With our second quarter and first half results, our year is on track to meet our internal growth targets. In the quarter, we were successful in completing projects with several national operators, as well as winning new high-profile projects with Marathon's midstream division, MPLX, and Kinder Morgan. Profire was selected to support the initiatives of these leading operators to help lower emissions at specific plants and facilities. These wins continue to demonstrate, the trust our customers have in Profire to support them in reaching internal and regulatory environmental targets. We continue to build relationships with original equipment manufacturers who design and manufacture fired equipment, used in various downstream industries. We are also focused on collaborating with automation providers who serve these various markets. These OEMs and automation firms are turning to Profire due to our technology, our field and combustion experience, as well as our rapid response and ability to deliver design and technology solutions that meet industry needs, and stand above that of our competitors. Our plans remain to find service and sales partners in geographic areas, where we currently do not have team members, to support our expanding customer and installation base. In summary, we are pleased with the progress we are making towards our diversification goals. Our sales pipeline and backlog in critical energy infrastructure continues to strengthen. We remain on pace to exceed 2023's results in this diversified area, of the energy sector. Our downstream and industrial project pipeline, current sales orders, and potential bid opportunities, have set the stage for us to break the record set in 2023. We continue to develop our internal teams and individuals who are focused on growing our ability to support projects and customers in diversified industries, and plan for future sales and support expansion in the coming quarters. Turning to our traditional business and markets, overall, we are seeing stability from upstream producers. We experience moderate growth quarter-over-quarter despite reduced year-over-year rig counts, which in turn results in less drilling and completion activity. Our growth was achieved due to overall steady commodity prices, regular business from existing customers, winning bids and completing projects from new customers, as well as achieving our best quarter in company history in terms of service revenue generated. Our customers continue to specify Profire, as their burner management solution provider of choice. It is our belief that our market share has never been stronger. We continue to support EMPs with the technology they need, to safely and efficiently run their heated appliances, as well as enable them to complete projects focused on emissions reduction, and monitoring on appliances that are used to meet air quality regulations. The record-breaking merger and acquisition activity of 2023, which carried into 2024, has continued to impact normal project discussions, with upstream customers involved in these transactions. Due to the significant integration efforts which ensue, our contacts' ability to execute purchase orders and make normal operational decisions, can experience delay. Looking to the remainder of the year, we expect we will begin to see things settle down, which we believe will lead to potentially a stronger second half of 2024. As we look forward to the remainder of the year, we are expecting to see increased drilling activity in the Marcellus and Haynesville. Currently, both shale plays are running rigs below what is needed, to maintain production levels, which has overall gas production - down year-to-date. The gas market is still considered oversupplied, however, based on comments from our customers, we believe we will see increased activity in the second half of the year. As a result of the opening of the Trans Mountain Pipeline, Canada-based producers are ramping up production. With this shorter route to new markets and lowered cost of transportation, operators believe that the differentials have the potential to reduce, which could result in Western Canadian Select becoming one of the most cost-effective crude available in the world. As we monitor the health and outlook of the energy sector, related to hydrocarbon production, we remain optimistic on the long-term demand and essential need for hydrocarbons. We believe the outlook for LNG exports from North America is bright, and that the case for hydrocarbons is strengthening. We feel that more and more markets will conclude that hydrocarbons are a necessity, and that all forms of energy will be required to meet future demand. The EIA forecasts remain in support of Profire's traditional business. U.S. natural gas production is predicted to increase in 2025. Natural gas consumption in the U.S. is expected to remain flat. LNG exports are expected to increase dramatically, and crude production, is forecast to increase through 2025. For the first time in decades, the United States is going to see a material increase in its power generation needs. We echo sentiments of CEOs of leading natural gas producers that things are looking very exciting for natural gas. We remain committed to our M&A activities, employing a systematic approach to identify and assess potential opportunities. We are actively seeking and engaging with companies that offer synergistic businesses, aligning with Profire's growth and scalability objectives in our current and future markets. These efforts also extend to developing products and solutions tailored, to both our traditional markets and our diversification strategy. Looking ahead to the upcoming quarters and years, we are enthusiastic and optimistic about our prospects. Our traditional customers will continue to rely on us for automating their new and existing heated appliances, aiming to enhance efficiency and reduce greenhouse gas emissions. Existing regulations underscore the demand for our solutions. Moreover, our efforts in diversifying into new industries, with burner and combustion management solutions are gaining momentum, as we consistently demonstrate the value of our over 400 years of combustion experience and expertise across multiple sectors. Before we open the line to questions, Ryan and I want to express our sincere gratitude for your interest and support of Profire. We also want to acknowledge and extend appreciation to our team members, for their hard work and commitment in supporting our customers, shareholders, and each other. Operator, would you please provide the appropriate instructions. So, we can get the Q&A started?
Operator: [Operator Instructions] And our first question will come from Rob Brown with Lake Street Capital Markets. Please go ahead.
Rob Brown: Good morning, Ryan.
Ryan Oviatt: Good morning.
Rob Brown: First question is on the service revenue activity. It was quite strong in the quarter. What was sort of driving that and can that continue or how can that continue?
Ryan Oviatt: Yes, certainly, Rob. That's a great question. Cam, do you want to talk about that?
Cameron Tidball: Yes, for sure. Really overall, if we look at the last few quarters, our service team just continues to get busier-and-busier. And it's in part due, we think, to the fact that human power is stretched in especially the upstream industry. And as we've moved into some of these diversified industries as well, we've been able to secure some nice projects that our service team has been involved in the commissioning, and sometimes the installation portions of that. Can it continue to a degree? Yes. We are extremely busy this quarter, but we will say our team is probably a little more stretched than we'd like from the hours they're working. We have expanded the service team slightly, and we continue to look for more technicians that we can either bring on that, can just be plug and play or that we can train, especially in the Permian, probably the Northeast as we see it getting busier there. But really, as our service team, our tenure is becoming really strong. We don't have a lot of turnover. We have great experience. We've had some great projects in the DJ basin where we're working with some of the major EMPs there to do a lot of upgrading. We see that continuing. So can it continue to this degree? We hope to be able to do it, but probably with adding a few more people. But there will be some fluctuations up and down slightly with it. But overall, it really comes down to some large projects that we were able to execute during the quarter, as well as just we are incredibly busy right now, which is a great sign.
Rob Brown: Okay. Great. Thank you. And then on the diversification efforts, good progress there. The pipeline is active. How would you characterize the pipeline growth in diversification and maybe what you see that playing out over time in terms of percent of revenue?
Ryan Oviatt: Yes, another great question. As we mentioned, we're very excited about what we've been able to achieve in the continuing increases, not only just as a percentage of revenue, but the overall revenue base increasing itself as well, for total revenue. So hitting 15% this quarter on top of a strong Q1 as well, with a great start to the first half of this year is something that we're really proud of. And it continues to come, as Cam mentioned in his prepared remarks, that that's coming from within critical energy infrastructure and oil and gas, but also from lots of other areas. And as far as the pipeline is concerned, we're continuing to see a significant amount of our total pipeline, probably at least a third, if not more of that total revenue pipeline is coming from diversification areas. So it continues to strengthen. We continue to see a bunch of projects coming in that hopefully hit within the second half of the year, but also things stacking in already for 2025. Cam, do you want to give any further color on any specifics there?
Cameron Tidball: Yes, absolutely. We've talked about before on calls, just, okay, is there - come a point, a tripping point here where you just really laser focus on an area, and put some horsepower behind it? And the answer to that is, yes, there still does come a point. But we're seeing so many like really interesting projects come our way, partly because we've been able to execute on some of these projects in the last couple of years with really notable firms in the landfill, and biogas and renewable natural gas space. And we're finding, we're putting some good investment into marketing. And so, people are finding us. We're working on these interesting projects where they're taking industrial biomass, and they have to do something with it. And there's firms that are specializing in dealing with this, and coming up with new and creative ways to use, whether it's coal or to use a feedstock of wood chips to turn it into something else or biochar. And companies are coming to us and, because as we mentioned, we're able to respond very quickly, much quicker than that of the incumbents. We're able to speak their language when it comes to burner management, combustion. And it's just something that is not so readily available out there to find. And so, as Ryan mentioned, the backlog is strengthening. We see it continue to go forward as we continue to put case studies out there, as we continue to execute on new projects, and able to publicize that to train our sales and service teams. As we mentioned in our remarks, we plan on expanding our sales team both internally, as well as expanding our sales and service support in areas where we just don't have people. We're finding projects that we've closed on that we'll have to support that, are just in areas that we never thought Profire would be. Well, we've always hoped we would be, but a few years ago, we never thought we'd have people in certain areas. But very exciting. We're looking forward to, as we talked about, or as I mentioned, executing on a project here late Q3, probably into Q4, at a large chemical plant. And we see more and more, some of these new customers that we're bringing on that repeat business, is going to start to ensue. We already are enjoying some of that. But as we build our base here, just the number of open projects has expanded significantly quarter-over-quarter. So great progress. We can't really overstate how excited we are about our movement here. And we're going to look to continue to grow that while growing that legacy business, which we love and is still a great business for Profire.
Rob Brown: Okay. Great. And then I guess on the legacy business, you talked about oil prices being a bit of a headwind. And then, some of the cross-currents in the market. But I guess the question is, do you think you can grow overall? And is the legacy business continuing to grow? And sort of what's sort of the near-term, mid-term kind of growth outlook? I know you want to give guidance, but sort of directionally, what sort of the growth outlook you think you can get?
Cameron Tidball: And I'll say some remarks here, and then Ryan will want to comment for sure. But you look at the rate count. Quarter-over-quarter is down. Year-over-year, it's down. But Profire's still been able to produce some great quarters. And there's a lot of reasons for that. One is our market share continues to grow. There's still new customers to go and get. We've seen this M&A activity. Although we mentioned it does kind of slow things for us and put things on delay, you're seeing that greater sophistication and need for automation from these firms. And as they buy other companies, obviously, Exxon buying Pioneer, they're both very, I guess, sophisticated. Sorry, Chevron, not Pioneer. But they're both very sophisticated, and Profire works with both. But, the thing is, as we see a lot of these independents get bought, they don't do a lot of burner management, not to the degree that the majors do. So that's going to be in support of Profire. We think, as mentioned, in the second half of the year and into next year, drilling and completion activity is going to continue both on the natural gas front, which is spectacular for Profire, as well as on the crude side of it. Crude demand, is it slowing? Yes, you could say it's slowing, but it's still growing. We think that the North American play and ability to ramp up quicker than they ever have before, to support energy needs, that is a tailwind for Profire. Obviously, U.S. AI is expected to require a lot more energy. And really, if you were to put that in perspective alone, just AI, it doesn't really make up a large percentage of the total baseload that North America or the United States would need. But if you were able to just increase natural gas production - with existing pipeline infrastructure by 10%, which there's room, you could almost meet that whole demand. And so, as that need for AI and other electrification comes on, natural gas is going to be a big part of it. And that's why we see these huge forecasts by the world's largest LNG providers. That LNG feedstock, it is going to come from the United States and Canada, not all of it, but a lot of it's going to be there. So, we think there's still some really great tailwinds. Can we grow the legacy business? We believe so. Probably not at the same, we know not at the same rate as we can grow, our non-oil and gas and industrial side of the business, but we believe that it can continue to see growth, moderate, but still grow. Ryan?
Ryan Oviatt: Yes, I would just add to that. We've said for years that we believe the world needs the best of all forms of energy, all sources of energy, and oil and gas is going to continue to be a critical piece of that. There may be some short-term disruptions related to the election or, and which direction that pushes, we don't really know. Disruptions in the Middle East will obviously have an impact, and that's forecast, or people are expecting a lot more of that. The tensions are certainly escalating and not de-escalating in those regions. So, obviously, there will be some ups and downs, but overall, we are very confident in the future of our legacy business, as well as our diversification efforts. We also believe that stability in prices is more important, probably, than even the price level itself. Stability in the low 70s, is a good thing for the industry, much better than quick rises and falls between 70 and 90. If it stabilizes above that, obviously, higher prices are better, but kind of that ongoing stability, which we have actually seen for the last two years, represents a good, strong environment for the EMP producers, for natural gas, for oil. And at these rates, at these levels, they will continue to invest in new technology, looking to get the most out of the existing assets that they have. As Cam mentioned, the drilling and completion activity is still 25% below where it was pre-COVID. So, the investment on the production side has been more in the technology, and not so much in drilling new wells or adding new capacity. But over time, with the decline of these shale wells, that has to be considered as well. So, again, we think that there's obvious uncertainty, but a lot of upside potential, a lot of upside opportunity for the industry and for Profire in the coming years.
Rob Brown: All right. Thank you. I'll turn it over.
Ryan Oviatt: Thanks, Rob.
Operator: [Operator Instructions] And with no further questions in queue, I would like to turn the call back over to Cameron Tidball for closing remarks.
Cameron Tidball: Thanks, everyone, for joining us on our call today, and thank you for all of your continued support. As always, we are available for any discussions or questions you may have. To mention, we will be participating at the Three Part Advisors' IDEAS Conference in Chicago on August 29 and the Lake Street Conference in New York on September 12. Thank you, and have a great day.
Operator: And this will conclude today's conference. Thank you for your participation, and you may now disconnect.